Operator: Good afternoon, and welcome ladies and gentlemen to the Acacia Research Third Quarter Earnings Release Conference Call. At this time, I would like to inform you that this conference is being recorded, and that all participants are in a listen-only mode. At the request of the company, we will open the conference up for question and answers after the presentation. I will now turn the conference over to Mr. Matthew Vella. Please go ahead, sir.
Matthew Vella: Thank you for being with us. Today’s call may involve what the SEC considers to be forward-looking statements. Please refer to our 8-K, which was filed with the SEC today, for our forward-looking statement disclaimer. In today’s call, the terms we, us, and our, refer to Acacia Research Corporation and it’s wholly and majority owned operating subsidiaries. All patent rights acquisitions, development, licensing and enforcement activities are conducted solely by certain of Acacia Research Corporation’s wholly and majority owned operating subsidiaries. With me today are Clayton Haynes, our Chief Financial Officer; and David Rosmann, our Executive Vice President of Licensing. Clayton will start our call by taking you through the numbers for this past quarter. Clayton?
Clayton Haynes: Thank you, Matt, and thank you to those joining us for today’s earnings conference call. As detailed in our earnings release today, third quarter 2015 revenues totaled 13 million, as compared to 37.2 million in the comparable prior year quarter. Third quarter of 2015 revenues were comprised primarily of eight new license agreements executed in the quarter, as compared to 20 new license agreements executed in the comparable prior year quarter. In the third quarter of 2015, three licensees individually accounted for 54%, 15% and 13% of revenues recognized, as compared to three licensees individually accounting for 43%, 30% and 12% of revenues recognized during the third quarter of 2014. As we have discussed on previous conference calls, license fee revenues continue to be uneven from period-to-period. For the third quarter of 2015, we reported a GAAP net loss of 27.3 million or $0.55 per share versus a GAAP net loss of 12.4 million or $0.26 per share for the comparable prior year quarter. On a non-GAAP basis, we reported a net loss of 11.5 million or $0.23 per share as compared to non-GAAP net income of 5.1 million or $0.10 per share for the comparable prior year quarter. Please refer to our disclosures regarding the presentation of non-GAAP financial measures and other notes in today’s earnings release and 8-K filed with the SEC. On a combined basis, inventor royalties and contingent legal fees expense decreased 83% primarily due to the 65% decrease in related revenues quarter-to-quarter and a higher percentage of revenues generated during the third quarter of 2015 having no inventor royalty obligations as compared to the revenues generated during the third quarter of 2014. As a result, average margins for the third quarter of 2015 were 84%, as compared to 67% in the comparable prior year quarter. Litigation and licensing expenses increased 8% quarter-to-quarter reflecting a slight increase in cost in connection with preparations for upcoming patent portfolio trials. These expenses will continue to fluctuate period-to-period based on future activity levels in those periods. Total MG&A expenses decreased 19% quarter-to-quarter due primarily to a reduction in non-cash stock compensation and ongoing personnel costs resulting from our headcount reduction activities in 2015. The decrease also reflects a decrease in variable performance-based compensation costs and corporate general and administrative costs. These decreases were partially offset by an increase in nonrecurring employee severance costs incur in connection with the reduction in headcount. Third quarter 2015 other operating expenses included expense accruals for court ordered attorney fees related to a matter initiated in 2010, and settlement and contingency accruals for other legal matters totaling 3.5 million. We ended Q3 2015 with 168.5 million of cash and investments versus 193 million as of December 31, 2014. Q3 2015 patent investment-related upfront advances and scheduled milestone payments totaled 837,000, as compared to 2.4 million in the comparable prior year quarter. Cash outflows for Q3 2015 also reflect quarterly cash dividends paid to shareholders totaling 6.3 million. Looking forward, as we reported on our Q2 2015 earnings call and consistent with our continued focus on reducing our general and administrative costs on a year-to-date basis, we have reduced our headcount from 57 full-time employees at the beginning of the year to 45 full-time employees as of today, an approximate 21% reduction, which results in annual savings of approximately 6.2 million on a GAAP basis and 3.2 million on a non-GAAP basis. As a result, we expect our 2015 fixed MG&A expense, excluding non-cash stock compensation and variable performance-based compensation, to be in the range of 24 million to 25 million including the impact of 2015 severance-related charges. Based on our cost structure reduction activities to date, 2016’s fixed MG&A expenses, excluding non-cash stock compensation and variable performance-based compensation, would be in the range of 21 million to 22 million. Based on current outstanding grants of restricted stock, we expect scheduled non-cash stock compensation charges for fiscal 2015 to be approximately 11.1 million. For fiscal 2015, we expect patent-related litigation and licensing expenses to be in the range of 36 million to 37 million depending on net patent portfolio litigation, international enforcement and strategic patent prosecution activities occurring in Q4 2015. Excluding any additional 2015 patent portfolio investments, scheduled fiscal year 2015 patent amortization expense is expected to be approximately 52.7 million. Thank you again for joining us today. I will now turn the call back over to Matt Vella.
Matthew Vella: Thanks, Clayton. As you can imagine, the team at Acacia is very disappointed with our financial performance of the third quarter. It was a quarter where legal developments on one hand strengthened several of our most important portfolios but on the other hand postponed the expected revenue drivers for the quarter, resulting in the poor numbers Clayton just set out. As a result, we believe revenues not generated on our portfolios this past quarter were not lost but simply pushed into subsequent quarters. Specifically, our first two Adaptix base station trials originally scheduled to commence in June then rescheduled to start in late August and November were each postponed again by roughly one quarter. This is because a few days prior to the August trial, our team unearthed significant documentation we believe strongly enhanced our legal position. The court accepted this documentation as evidence but also allowed the defense time to review it, which postponed our base station trials by roughly one quarter. We now expect our Adaptix base station case against Alcatel-Lucent to start nearly to mid-December and our Adaptix base station case against Ericsson to start in February. All-in-all, these developments when coupled with several new Adaptix patent allowances, market wins and summary judgment motion wins have strengthened our confidence that the Adaptix portfolio will earn significant revenues. Turning to VoiceAge. This past quarter, our VoiceAge patents were tested on two more occasions in Europe; once against LG in Munich and once against HTC in Dusseldorf. Based on the stated opinion of the court, on both occasions we won on all counts including infringements, validity and competition law issues bringing our overall record in this portfolio to four wins and no losses. While the German court is indicating it has decided in our favor, however, it will take several months to issue its formal opinion. We expect the formal opinion for the HTC matter on November 27, 2015 and for the LG matter on February 3, 2016. We are confident the German court will issue injunctions shortly after those times. Additionally, VoiceAge’s case against Vodafone will go to trial in Dusseldorf in January 2016. We believe all of these upcoming events should position us well to execute a new wave of revenue generating VoiceAge patent licenses in the near future. Again, third quarter developments created paradoxical outcomes. On one hand, our marquee portfolios were strengthened through Markman inter-parties review and new patent issuance wins, and now have even greater future value. But on the other hand, we experienced a delay in collecting on that value. That said, we had opportunities in the third quarter to close license deals across our deep bench of strong patent portfolios, which extend well beyond Adaptix and VoiceAge. We declined many of those deals, however, because the pricing was below our thresholds. While this contributed to our poor third quarter, I am confident our price discipline will ultimately yield greater rewards for all of Acacia’s stakeholders in the form of increased revenue and more marquee portfolios. So, in most respects, Acacia remains firmly planted where it was 90 days ago on our prior call. Acacia is wholly committed in more consistent long-term profitability. We are happy with our progress on rightsizing the company and rationalizing the company’s cost structure. We are utilizing our industry-leading balance sheet judiciously and we remain firmly committed to the dividend as our preferred path the return of shareholder capital. And though we are very disappointed in our inability to reasonably generate a very significant stream of revenue, despite our solid execution on the legal front, importantly we think it is unlikely that there will be still more postponements of the VoiceAge and Adaptix revenue drivers. As a result, we remain confident in our strategy and operating focus and continue to expect revenue to ramp in the fourth quarter and in early 2016. You can see a newly updated and chronological listing with Acacia’s upcoming trial calendar under the portfolio tab on our Web site. Turning to patent intake, consistent with Acacia’s strategic shift towards a smaller number of higher value marquee portfolios, our portfolio intake pipeline remains filled with deep and promising patents into technology, automotive and energy verticals as inventors and companies seek out the best partner to navigate the increasingly complex patent licensing environment. Our marquee portfolio count now stands at 13 and we continue to target 15 to 17 marquee portfolios by year end. And just as our prospective on the company remains unchanged with respect to our revenue prospects and our new portfolio opportunities, it remains unchanged with respect to all other aspects of our business including the diminished competitive capacity of our peers and the diminished probability of further patent reforms that would impact our business. All-in-all, notwithstanding the poor financial quarter we just experienced, we think we are in basically the same promising position we were in three months ago but with stronger legal cases for many of our key portfolios. Accordingly, we are really looking forward to executing our business plan over the next three months and looking forward to sharing our progress with you on our next earnings call. With that, I’ll open up the call for questions.
Operator: Thank you, sir. The question-and-answer session will begin. [Operator Instructions]. We’ll take our first question from Craig Hoagland with Anderson Hoagland & Co.
Craig Hoagland: Matt, could you say a little bit more about the headcount reduction and what that says about the mix of portfolios or portfolios that might not have panned out?
Matthew Vella: The headcount reduction I think – probably the one thing it does say is that in certain sectors like med-tech, the intake has seized [indiscernible]. I don’t think it says anything about what we’ve pulled in. And I think that’s probably the only correlation you can make between headcount reductions on one hand and portfolio fails on the other gets more of the intake than the actual portfolios that we have in-house. I think the headcount reduction also reflects the fact that the business is transitioning, right, for the last couple of years from one where we’ve filed lots of lawsuits on lots of portfolios of varying values through one where we’re focusing on marquees – a smaller number of marquees. And so that obviously should lead to reduced headcount.
Craig Hoagland: And that’s still trailed into 2015.
Matthew Vella: Yes.
Operator: We’ll take our next question from Mark Argento with Lake Street Markets.
Mark Argento: Hi. Good afternoon, guys.
Matthew Vella: Hi, Mark.
Mark Argento: Hi. Just a quick question on the legal fees. I saw that you guys – it looks like you took a reserve. Can you talk a little bit about the reserve for legal fees in regards to, I’m assuming it’s the case in which you guys were – the judge decided to award the defendant some legal fees. Just walk through that. And what do you see going forward just in terms of that being a risk to the business model?
Matthew Vella: I think the accrual – well, let me answer two questions because I think you’ve pinned us on two issues, they are separate. The accrual, and Clayton correct me if I’m wrong, that largely relates to a matter we have with a law firm. It’s a fee dispute with a law firm. That’s nothing to do with sanctions awards. On the sanctions awards front, we don’t anticipate a lot more of those. If you actually look historically at our lawsuit record, we filed over a 1,000 suits and I think we’ve only been sanctioned on three or four occasions. We generated over $1.2 billion of licensing revenue almost all of it from lawsuits or at least a lot of it, and again I don’t think we paid more than 0.2% of that. And when you’re in that many legal disputes, you’re going to have some of things cropping up once in a while. That’s how I’d characterize it. And actually now that I recall, there was part of the accrual that you’re referring to, Mark, a chunk of that has to do with a fee dispute with a firm. About 700,000 of that had to with a fee dispute, so I was wrong on that count.
Mark Argento: Okay, that’s helpful. And then just turning to the – just the total number of licensed transactions, I think you guys had did eight new agreements or eight new licensing agreements in the quarter, which is down and granted the total number of license deals wasn’t as important as the actual size per license. But just say like the breadth of transactions are just down. Is that by design or is that somewhat by the environment we’re in or is that driven by your shift to more focusing on these more marquee portfolios versus a broader kind of slot historically?
Matthew Vella: Well, if you’re talking about comparing this quarter in terms of the number of transactions, the number of transactions we have three years ago because the strategy is changed, right. We’re sound [ph] on marquee strategy, small number of deals, bigger dollars and you can see that trend play itself out. If we had to compare the number of deals we had this quarter to the number of deals we had last quarter or the previous quarter within, I’d say, the last two years, I think that’s more of an aberration. We were negotiating a similar number of transactions as we normally negotiate. In fact, the dollars we’re negotiating were in some sense comparable if not higher to what we’re normally negotiating; just that the gap between the bid and the ask didn’t quite close and the number came out the way it did. But again, I wouldn’t read anything into the number of transactions as being indicative of a trend if you’re comparing it to the other quarters this year and I certainly wouldn’t read anything into the revenue as being indicative of a trend. I see that as more of an aberration. Again, it had to do with the gaps between the bid and the ask not closing to where we thought they would.
Mark Argento: All right. And then last, maybe a question for Clayton. Your guidance for the 21 million to 22 million in MG&A for 2016, you guys think about that level, is that consistent on a run rate basis where you guys are right now in Q4 in terms of total kind of overhead cost or is that contemplated additional reductions in terms of the fixed expense as a business?
Clayton Haynes: Sure. That contemplates the current run rate as of right now, of course those savings in Q3 were offset by some nonrecurring severance-related payments. But that 21 million to 22 million is the current run rate currently.
Mark Argento: All right. And then last question for Matt, maybe you could talk a little bit about the environment, obviously it’s been bad for quite a while. Are you seeing a light at the end of the tunnel there at all? I know legislation seems to have kind of come and gone or the tread of legislation. It seems like the lawmakers have basically affected change without having to put actual laws on the books. What are you seeing out there in terms of the environment, maybe you could give us a little bit of your perspective? That would be helpful.
Matthew Vella: It hasn’t changed. If you go back to my responses for the last couple of years, it really hasn’t changed. And let me restate my views on the environment as you call it and then I’m come back into how it would position my views given the numbers we just put up for the quarter. I think the environment is tougher if you have a case that’s closer to the fringes where the valuation’s lower or you’re taking more risk on various positions. And so I think that we’re running the business we used to run four or five years ago, three years ago absolutely would have impacted it. But we predicted this impact and we shifted out of the business and my opinion in the nick of time. So I don’t think that’s what’s going on. What’s going on is it’s a new regime. It’s been the most complete overhaul of the U.S. patent law that’s happened in our lifetime, right. And so it’s not so much the regime is something we had anticipated, it just takes time to understand how it’s going to work with respect to the details. So with things like predicting trial dates, it becomes a little bit trickier because you’re seeing fact patents that no one seen before. And I can get into the examples, but perhaps it’s not the time and the place with this call. So, overall, I don’t think it’s really impacted us in a way that we haven’t been able to model and that’s why we made our shift to this marquee strategy. In terms of what happened this past quarter, I wouldn’t read any of that into the environment. I mean, the reality is we’re in a marquee strategy. There’s going to be a smaller number of deals driving revenue. And if there is a miscalculation on the timing of when those deals close, you get a quarter like the one we just had, right. But at the same time, I don’t think we lost value. I don’t think the revenue is indicative of the company being weaker. As I said in my prepared remarks, we think it’s stronger and we think that revenues that we could have collected this past quarter that we didn’t collect will be collected. And we think much of those will be collected in the next few quarters.
Mark Argento: My last, last question in terms of the intake, looks like you’re looking to bring in another two to four portfolios. In the environment out there, I guess it’s a buyers’ market for lack of a better word. Do you anticipate having to lay capital out for IP or can you really lean on that partnership model?
Matthew Vella: They’ll be many, most where you won’t have to deploy that much capital. There might be one or two where you might. It depends on the circumstance. I don’t want to preclude that, but by and large I think we’ll be able to do quite well and deploy – and get a good return on any capital we do deploy, let’s put it that way.
Mark Argento: Great. Thanks, guys.
Operator: We’ll go next to Mike Latimore with Northland Capital Markets.
Jim Fitzgerald: Hi, guys. This is Jim Fitzgerald in for Mike Latimore.
Matthew Vella: Hi, Jim.
Jim Fitzgerald: So were the medical device patents the biggest revenue contributors in the quarter?
Clayton Haynes: I’m not sure we can – all we can do is tell you what’s in our public filings, right. So we can tell you by size what the top three are. I will say I think if you look at it, the marquees that we closed this quarter, I think many of them were medical, I’ll say that.
Jim Fitzgerald: Okay. And you see further material opportunity in the medical device base over, I’ll say, the next few quarters?
Clayton Haynes: On intake, as I’ve mentioned, we’ll still look at stuff but we’ve cut back resources looking at that space because we think that those patents are actually pricing quite well and there’s less need for our service in that space. In terms of the portfolios, we do have in-house, we do see some future opportunities, yes.
Jim Fitzgerald: Okay. We just talked a little bit about the patent environment in the U.S. It seems in Europe, the environment is a little bit more favorable. Would you say you guys are considering or are increasing your focus on European litigation over U.S.?
Matthew Vella: We have increased our focus and we’ll keep increasing our focus. But really it’s a matter of finding the right patent for the right venue. I don’t want to get people the impression that the U.S. is an awful place to litigate because it’s a harder place to litigate than it was three, four years ago, especially if you have lower quality patents. But again much of frustration I think people are sensing is new rules that have to be burnt in properly. I think there is in some cases an anti-patent holder bias but I think the American system will rebalance. I think we’re seeing some hints of rebalancing, for example, in our own IPR outcomes. And so overall, the way we see it is not so much Europe good, U.S. bad. There’s different patents, they have different characteristics, we put [indiscernible] for them. And perhaps in the past; five, six years ago, we didn’t look at Europe enough and we’re starting to. And again, for the right patents, it’s a good place to look just as America is for certain other types of patents.
Jim Fitzgerald: Sure, okay. I know you just launched an IPR, so have you had any notable wins or losses in that space?
Matthew Vella: We basically had some [indiscernible] request denied. We won some IPRs on the Adaptix suite. I don’t know if they happened – the wins themselves happened this quarter or the past quarter but I know we won some in the past, let’s call it four, five months. By and large – if I look back I just get a general notion of what’s been happening with our IPRs, my sense is we’ve been winning the significant ones. And we’ve lost one or two here or there but the ones we really needed to win, we’ve won. And I’ll give as an example one of our main patents in the NSN portfolio, I know we’ve won I think one or two IPRs there and we’ve certainly won one or two IPRs I believe on the Adaptix matter as well as an example.
Jim Fitzgerald: Okay, great. Thanks, guys.
Operator: We’ll take our next question from Darrin Peller with Barclays.
James Berkley: Hi. Thanks for taking my question. This is James Berkley for Darrin.
Matthew Vella: Hi, James.
James Berkley: How you guys doing?
Matthew Vella: Okay.
James Berkley: Just a couple of quick questions for you. Just wanted to get a better understanding, I know in the last call you mentioned that you expected revenue to ramp obviously into 3Q, 4Q and into '16 from that $40 million you saw in 2Q. I know obviously there’s some timing issues here. So going forward, just assuming things are on track as you expect, would you expect like 4Q to ramp relative to 2Q or is that now relative to 3Q. Just trying to get any color that I can.
Matthew Vella: No, it’s relative to Q2.
James Berkley: Okay. So if everything goes as planned, you would expect to see --?
Matthew Vella: Yes, we’re not advertising our ramp at 13. That’s clearly not the intent.
James Berkley: Okay, great. That’s really helpful. And then, are you able to give any further just additional color how much you would expect it to ramp and how we should think about '16 at all and how sustainable the revenue is going forward? And similar to that, why the revenue – what caused the major drop off? What kind of fell off this quarter?
Matthew Vella: I’ve given some information in the past on what our objectives are and I’ve said we want to get back to our peak, the 200, 250 level, right, and then go by it and that’s the goals. There are some timing issues as you say and I think – did you ask me you wanted me to talk about those timing issues? I sense there were two questions in there. Was it just that one question or did you ask the second one as well?
James Berkley: The timing issues if you could, a little more detail on what led to the sequential drop off here and then just how to think about revenue sequentially going forward in 4Q and beyond?
Matthew Vella: Well, again, it really was probably a confluence of factors for this particular quarter but I’ll point to some public things you guys can see to give you some hint. I can’t obviously betray confidences that we’re having in terms of negotiations. On the Adaptix trial, right, 10 days before that trial was supposed to start, documents were unearthed that really helped our case and we tried to get those documents into the case and have the trial start on time. But the judge probably did the right thing there and said, well, if you’re going to put new documents in that substantially strengthen your case, you should at least give the other side a chance to react to those documents and examine them. And that’s what been happening. So he pushed that off a couple of months. So that’s one where – we had a choice. It’s not like the delay was forced on us. We could either do what we thought was the right thing, identify the documents and give the other side a chance to react, right, which the judge I think wisely did or we can go in, we had a strong case and fight the case with slightly lower probabilities of winning. We took the choice of security over rush to a trial, especially given it was only a delay of a quarter. Sometimes it’s a matter of you have a marquee that’s been doing quite well. People see the writing on the wall in terms of what’s going to happen if you don’t take a license and there’s just a gap between the bid and the ask. And your enforcement moment, right, is still two, three months away and people just want to push and push and push. And what we’re seeing is when the amounts get bigger, delaying even a couple of months, three months, becomes worth their while which is something we necessarily see when we’re closing $4 million, $5 million deals exclusively. And sometimes you have transactions and you’re negotiating them and they’re looking quite good and issues completely out of left field that neither side could have anticipated come along and sideswipe you. And that happens once in a while. And when that happens, then – especially when it happens late in a quarter, it kind of throws your planning into a bit of chaos. And so what you have to do is at that point, take a breath and say, okay, we’re not going to give away the future because of one quarter. We’re going to do the right thing. Wrap up for the quarter, take some heat for the numbers we’re going to put up but at the same time take the heat knowing that fundamentally the valuation of the company hasn’t changed. In fact, in our case we think because of the wins we’ve been having, it actually increased and move forward.
James Berkley: So it’s fair to say just basically to sum up, the submission of those documents obviously that led to a delay but at the same time you should probably come out better than you otherwise would have from a revenue standpoint longer term. Is that fair?
Matthew Vella: Yes, without a doubt it’s delayed us and without a doubt our case is stronger.
James Berkley: Okay. Do you think that will impact what you’re able to get out of those cases by submitting those documents?
Matthew Vella: If the case is stronger, right, you get more typically. I mean that’s the usual correlation.
James Berkley: All right, perfect. Yes, I just wanted to make that clear.
Matthew Vella: No worries.
James Berkley: And then just the last question. I know you talked about in the past that you guys are more focused on the dividend in terms of returning value to shareholders and whatnot, but at what point would you perhaps revisit that and consider a buyback, if at all?
Matthew Vella: Look, we’re always looking at the stock price performance and we’re always looking at stepping in and declaring an authorization for a buyback, which again given how closely the members of the board communicate would be something we could do almost ingeniously. We’ve expressed our preference for returning capital via dividends and to date, we’ve returned over 100 million I think if you count the buybacks and the dividends, right. But rest assured, we’re going to be continuously monitoring especially given how close a lot of trials that we think we’re well positioned in, how closely they’re following up, right, as in right now and we’ll be monitoring it.
James Berkley: Okay, great. So is it fair to say that if things kind of go as planned from a timing perspective and you guys run into a good amount of cash here that you might – you’re lot more likely perhaps to put that to use in terms of a buyback if you feel the stock is undervalued?
Matthew Vella: There’s that possibility and there’s also a possibility for special dividends. There’s a number of things that happen and so that’s why again what we’re focused on is bringing that cash in. We think we’re well positioned to do that and we’re really looking forward to doing so in the next few months.
James Berkley: Okay, great. Thanks a lot for your time. I appreciate it.
Matthew Vella: Thank you.
Operator: We’ll go next to Tom [indiscernible].
Unidentified Analyst: Yes, thanks for taking my question. In the last call there was mention made of remedies hearing, I think it was scheduled for September 22 in Germany on the VoiceAge portfolio and I think Dave Rosmann may have mentioned it. So I was curious to know now whether that hearing went off as scheduled and if there’s any report you can give us about how that worked out?
David Rosmann: Yes. David Rosmann here. We did have the hearing on September 22 in Mannheim and in a nutshell we won on all accounts. So to summarize the VoiceAge portfolio, we had a hearing in Mannheim on 22nd and we had a hearing in Munich in August in two separate cases. In sort of an ironic twist here, we won across the board in both of those hearings. And in other words, we won on the validity, we won on infringement but most importantly we won on the cartel issues which were the new rules established by the European Court of Justice on how competition law works with respect of standard of central patents. And interestingly when you win across the board, it provides a situation that doesn’t necessary lend us off easy in quick settlement. And I think it’s caused in this case the defendants have sort of moved back and take stock on how to resolve those cases and like or the fact that the judges in all those cases gave them very little account on them. So in sum, we continue to win on the VoiceAge portfolio. We had four cases in Germany now. We’ve won on all four of those and we have upcoming decisions in the fourth quarter, early in the first quarter next year to where those cases are going to be finalized.
Unidentified Analyst: Okay, so those are the cases that Matt was referring to earlier when the decisions aren’t out yet and once they are out, you anticipate injunctions maybe included and that obviously forces the defendants hand. That’s what Matt was referring to earlier. Then I misunderstood that if that’s the case.
David Rosmann: Yes, that’s correct. In the court in Munich in August and in Mannheim in September and two separate cases, of course both declared that we have basically won on all those issues and they’ll issue their written decisions in just a couple of months. And we expect – we’re very confident that based on the court’s stated position in those cases that injunctions will issue but more importantly we think that they provide significant drivers to settlement. And as someone asked earlier, is there a case that has strengthened or weakened or is it a mixed bag, in this case the cases were strengthened across the board on all fronts.
Unidentified Analyst: Okay, thanks. And just one other question. I saw that the Bard settlement was announced October 2. Can you tell us whether that was a Q3 or a Q4 event? It wasn’t clear as I read the business wire release.
Matthew Vella: It was a Q3 event and it related – if you look at the complaint, that was a case that primarily related to filters, to vena cava filters.
Unidentified Analyst: Okay, all right. Thanks. That’s all I have. I appreciate it. And just one comment. I appreciate the management’s refusal to bend on your pricing when the quarters come up. I really think that’s admirable and shareholder friendly behavior. Thank you.
Matthew Vella: Thanks.
Operator: We’ll go next to Brett Reiss with Janney Montgomery Scott.
Brett Reiss: Good afternoon, gentlemen.
Matthew Vella: Hi.
Brett Reiss: Looking at the trading in Acacia and after hours, it’s down sharply. Can we hope or expect that upper management and board members will be buying stock in the near future?
Matthew Vella: Again, the response I’m giving you on our intentions I think reflects the response I gave on the buyback, right, and we’re going to act accordingly.
Brett Reiss: Forgive me, I understand the buyback and there’s a weighing between keeping abundant cash in the corporate copper [ph], so you don’t appear to be in a weak negotiating position, I understand that. But you’ve said that value creation is still there and it’s just been deferred. You would give shareholders a lot of hope and comfort if we could see somebody in upper management reach into their pockets and buy some stock if it gets down to a crazy level, which is where it looks like it’s going to open tomorrow. And that has nothing to do with your buyback.
Matthew Vella: Again, we’ll see what happens to the stock price tomorrow and react accordingly.
Brett Reiss: Okay, fair enough.
Operator: This will conclude the question-and-answer session. I will now turn the call back to Mr. Vella.
Matthew Vella: Thanks very much. We’ll talk again in three months and again, thanks for your patience. We are very frustrated by the delays that were caused by legal developments but at the same time we’re heartened by the strengthening of those portfolios that came about with those same developments. So we’ll do it again next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes our conference for today. Thank you all for participating and have a nice day. All parties may now disconnect.